Operator: At this time I would like to welcome everyone to the Jabil first quarter fiscal year 2010 earnings call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks there will be a question and answer session. (Operator Instructions) Ms. Walters, you may begin your conference.
Beth Walters: Welcome to our first quarter of fiscal 2010 fiscal year call. Joining me on the call today are President and CEO Tim Main and our Chief Financial Officer Forbes Alexander. The call is being recorded and will be posted for audio playback on the Jabil website in the investors section along with today’s press release and a slide show presentation on the first quarter results. You can follow our presentation with the slides that are posted on the website and begin with Slide One now, our forward-looking statement. During this conference call we will be making forward-looking statements including those regarding the anticipated outlook for our business, our currently expected second quarter of fiscal 2010 net revenue and earnings results, our long term outlook for our company and improvements in our operation efficiency and in our financial performance. The statements are based on current expectations, forecasts and assumptions involving risks and uncertainties that could cause actual outcomes and results to differ materially. An extensive list of these risks and uncertainties are identified in our annual report on Form 10K for the fiscal year ended August 31, 2009, on subsequent reports on Form 10Q and Form 8K and our other securities filings. Jabil disclaims any intention or obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. Please now turn to Slides Two and Three, results for our first quarter of fiscal year 2010. On revenues of $3.1 billion, GAAP operating income was $66.3 million. This compares to $240 million GAAP operating losses on revenues on $3.4 billion for the same period in the prior year. Core operating income excluding amortization of intangibles, stock-based compensation and restructuring charges for the quarter was $106.5 million or 3.4% of revenue as compared to $101.2 million or 3% for the same period in the prior year. Core earnings per diluted share were $0.32 as compared to $0.30 for the same period in the prior year. On a year-over-year basis for the quarter revenue declined 9% while core operating profits increased 5%. On a sequential basis revenues increased 10% while core operating income increased 63%. Please turn now to Slides Four and Five for a discussion of revenue by division and sector for the first fiscal quarter. Starting with the EMS division, it represented approximately 54% or $1.67 billion, sequential growth of 2% as compared to the fourth quarter of fiscal 2009. Core operating income for the division in the quarter was 3.4% of revenue. Sector movements are as follows, computing and storage increased 2% from the fourth quarter and represented 9% of revenue; industrial instrumentation and medical sector increased 8% from the prior quarter as a result of growth across a broad number of customers, this sector represented 20% of revenue. The networking sector level of production decreased by 4% from the previous quarter as a result of demand reduction from a European customer and material shortage that gated our production. This sector represented 15% of revenue in the quarter. Telecommunications sector decreased 5% sequentially and represented 5% of revenues. Turning now to the consumer division, the consumer division represented approximately 40% or $1.2 billion in the first fiscal quarter, a sequential increase of 27%. Core operating income for the division in the quarter was 2.7% of revenue. Sequential sector movements are as following, as we discussed on our last quarter’s call we have combined the management of our display and peripherals sectors and these are reported as one sector, digital home office. This sector increased by 22% in the fourth quarter and represented 16% of revenue. The mobility sector increased by 30% in the prior quarter and represented 24% of revenue in the quarter. Finally, the aftermarket services division decreased by 3% from the prior quarter and represented approximately 6% of overall company revenue in the first fiscal quarter. Core operating income from the division in the quarter was 8.2% of revenue. In the first fiscal quarter two customers accounted for more than 10% of revenue and our top 10 customers in the quarter accounted for approximately 58% of our revenue. Selling, general and administrative expenses increased by $800,000 to $117.6 million. Research and development costs were $7.7 million in the quarter. Intangibles amortization was 7.1 for the quarter. Stock-based compensation was $14 million in the quarter, restructuring was $19 million including a $15.7 million loss on the sale of our French automotive subsidiary. Net interest expense for the quarter was $20 million. The tax rate on net core operating income in the quarter was 20%. I’ll now turn the call over to Forbes Alexander who will cover our balance sheet and ratio trends.
Forbes I. J. Alexander : I’ll now ask you to turn to Slide Six through Eight. Our sales cycle in the first quarter was consistent with last quarter at 16 days. Days sales outstanding were also consistent at 41 days. An increase of days in inventory of three days was offset by expansion of accounts payable days. We’re very pleased with the overall level of working capital performance and the revenue growth environment. As a result, we continue to generate cash flow from operations producing $74 million in the first fiscal quarter. Our return on invested capital increased from 11.5% in the fourth quarter to 19.8% in the first quarter. Cash and cash equivalents were $852 million at the end of the quarter with no sums outstanding on our $800 million revolving credit facility. Our capital expenditures during the quarter were approximately $39 million. This level of expenditure primarily reflecting investments in our clean technology businesses, information technology and maintenance capital investments. Depreciation for the quarter was approximately $66 million. Core EBITDA was approximately $172 million or 5.6% of revenue. As seasonally driven revenue growth returned in the first quarter, we successfully continued to manage our working capital and operational cash generation. We’re very pleased with this result and this positions us well as we move through the remainder of the fiscal year. Let me now just update you on our restructuring activity. During our last earnings call I discussed our continuing efforts to rationalize the economic performance of our automotive sector and the intended divestiture of our automotive electronics manufacturing subsidiary in Western Europe. During late October, we concluded the sale of our French subsidiary realizing a loss on the sale below the low end of our previous guidance of $15.7 million, $3 million of which was cash related. With this divestiture the remainder of our automotive relationships are on a sound footing and lower cost geographies. I’d also like to thank our employees [inaudible] for their dedication and commitment over the last eight years and wish them every future success. During the fiscal quarter we also recorded charges of $3 million associated with our previously announced restructuring plans while cash payments associated with these plans were $9 million. Through the first quarter we have recorded charges of approximately $57 million and cash payments of $36 million. We expect cash payments to be approximately $17 million in our second fiscal quarter. In summary, we’re very pleased with our performance in the quarter, executing to the midpoint of our revenue guidance while core operating income levels and core earnings per share were at the high end of our previous guidance. The addition of additional revenue across our fixed manufacturing cost base has continued to deliver operating income margin expansion. Sequentially, $0.14 of operating margin expansion added per revenue dollar for a core operating margin of 3.4%. Positive cash flow from operations is also very pleasing in a double digit revenue growth quarter positioning us well for continued positive cash flows through fiscal 2010. Overall, positive effects on our path to returning the company to our long term targeted return levels. I’d now ask you to turn to Slide Nine, we’ll give you a business update. Overall company guidance for our second fiscal quarter of 2010 is as follows. Revenue is estimated to consistent to decline 6% for the first quarter or a range of $2.9 to $3.1 billion. At the midpoint of our range our expectations for the second fiscal quarter reflect and overall decline of 3%. The EMS division is expected to grow 5% sequentially while the consumer division is expected to decline 15% reflecting the seasonal decline of consumer based products. The aftermarket services division is expected to have consistent revenues with those of the first quarter. Core operating income is estimated to be in the range of $75 million to $105 million. The midpoint of our guidance reflects revenue growth of $113 million or 4% on a year-over-year basis and core operating income growth of $39 million or 76% growth on a year-over-year basis. As a result, core operating margin will be in the range of 2.6% to 3.4% and core earnings per share is expected to be in the range of $0.20 to $0.32 per diluted share. Selling, general and administrative expenses are estimated to be $116 million in the quarter. Research and development costs are expected to be approximately $8 million in the second quarter. Intangibles amortization is expected to be $7 million. Stock-based compensation in the quarter is expected to be approximately $14 million and interest expense is estimated to be $21 million. Based upon the current estimate of production and income levels, the tax rate on core operating income is expected to be 20% for the quarter and the full fiscal year. Capital expenditures for the second quarter are estimated to be approximately $80 million, reflecting investments in our clean technology businesses, information technology upgrades, consolidation and expansion of our Jabil Green Point mechanical site in China and maintenance capital expenditure levels. Now, I’d like to hand the call over to Tim Main.
Timothy L. Main : Well, what a difference a year makes. We are really delighted to conclude our first fiscal 2010 quarter with good momentum and new business, solid operations performance and an improving macroeconomic environment. I’d like to draw out a few observations that I think are pertinent for investors as they evaluate Jabil. Year-over-year Jabil earned $5.3 million more in core operating income on $295 million less revenue. This is particularly gratifying because the consumer business actually increased to 40% of our overall revenue over that same period. The sequential story was positive as well, we produced incremental core operating income of $0.14 per revenue dollar and core operating margins of 3.4% and core EBITDA margins of 5.6% are indicative of the earnings power of our company. I think it also demonstrates the fundamental economic model is still in good working order. A few key elements to the improvements and what we’re thinking about going forward. Number one, the company is very focused on lean manufacturing, costs control and improving our overall operational efficiency. We are committed to strengthening our focus in this area even though economic conditions appear to be improving. We will take proactive steps to ensure the structure is well positioned and highly competitive. Two, emphasis on industrial instrumentation in the medical sector has led to significant growth and an increase in the share of our business. This is now our second largest sector. Three, continuing to emphasis our end-to-end service capabilities inclusive of our aftermarket services division and world class mechanic capabilities at Jabil Green Point, gives us commend of a broader value chain and makes us a more valuable partner to our customers. Finally, four we continue the effort towards a time when we will be regarded as the undisputed leader of our industry in fundamental execution with superior capabilities. We will be investing in our business over the course of the next few quarters. These investments will be focused in our key growth areas such as industrial, instrumentation and medical market as well as clean tech activities. We are expanding capacity of our Jabil Green Point operations to accommodate some higher volume new business later this year. We are also condensing and consolidating operations to be a more effective and efficient partner to our customers. Although these initiatives with require some additional capital and expense, we continue to expect to drive significant operating leverage with revenue growth beyond our second fiscal quarter. In summary, we’re off to a good start and on a solid trajectory to an excellent fiscal 2010. If this nation’s economic recovery is sustained through 2010 then this good start should develop in to a welcomed finish to the year.
Beth Walters : Operator, we’re ready for the question and answer period.
Operator: (Operator Instructions) Your first question comes from Amit Daryanani – RBC Capital Markets.
Amit Daryanani – RBC Capital Markets: Just a question regarding the guidance, it seems to be down a lot less than what you would normally expect. Can you just talk about maybe the EMS segment being up 5% in the Feb quarter, is this some specific new programs that are driving that and what is the underlying seasonality that you see in the Feb quarter?
Timothy L. Main : I think we’re embedding a little less than the typical seasonality in the consumer side and with the EMS division expected to grow sequentially 5% we’re definitely seeing a broad based recovery here. Particular strength in the industrial space and medical sector, that was up 8% quarter-to-quarter in Q1. We continue to see solid strength there particularly in the recovery of semiconductor markets. We actually categorize our clean tech activities which is inclusive of everything from metering to solar panels and everything in between, that’s been a very robust activity for us as well as the medical business seems to be recovering both in terms of our ability to generate market share as well as overall general market recovery. In the enterprise Amit, you probably have been very in touch with those, the enterprise markets have been very strong since August and were it not for component gates and some supply chain discontinuities. Over the last three or four months I think that would have been demonstrated in the results as well and we expect to see a solid order pattern for the enterprise market right through the quarter.
Amit Daryanani – RBC Capital Markets: Inventory looks like it was up about 15% sequentially, could you start with what is driving that? I assume some of that is just consumer shipments in the month of December but have you started to essentially started to stock up on some components that may be in short supply right now?
Timothy L. Main : We’ve got a combination of things Amit and I’d say that while we – you know our objectives for the quarter was to be under $1.4 billion in inventory. At the end of the day we kind of feel that was decent performance. You mentioned that consumer continues to ramp in the December quarter and investors sometimes forget that so there’s still inventory position to continue to ship through December. Then, with the material gates that we’ve had in the enterprise areas and in the industrial space and medical sector in some areas, we’ve really had a bit of a [inaudible], material waiting for that last component to arrive to be able to ship. I think the company in terms of expectations, having the company continue to operate in an 8 to 9 inventory turn until we can really dial it in and get to nine or above and that’s a reasonable expectation for investors. From a cash flow standpoint I’d say that we might actually see negative cash flow from operations this quarter and that would not have been unusual and we actually had $74 million in cash flow from operations. So from that standpoint and actually since we spent less on cap ex than maybe anticipated actually had free cash flow in the quarter so we’re very, very pleased with that part of it.
Amit Daryanani – RBC Capital Markets: Just my final question, can you maybe quantify how much revenue you may have left on the table because of these material shortages especially on the networking side?
Timothy L. Main : I knew you guys would ask that and I really don’t have a quantification. I mean, it’s not a huge number, it’s not $200 million but just a guess would be $50 to $75 million is probably the revenue that was left on the table.
Operator: Your next question comes from Louis Miscioscia – Brigantine Advisors, LLC.
Louis Miscioscia – Brigantine Advisors, LLC: Tim, could you maybe go in to a little more detail about what you’re doing in the clean tech area? You’ve mentioned that a couple of times now. And, maybe comment whether some of that stuff that you spent for cap ex there is transferrable to other areas or does it have to stay within the clean tech area?
Timothy L. Main : When I talk about clean tech I’m really talking smart grid, renewable energy, smarter appliances, that type of thing, we have activity in all of those areas. Generally for things like metering and smart grid activity, the capacity is the same type of capacity that we have used to manufacture routers and cell phones. In the case of some renewable energy areas, in particular solar, we are investing in some new manufacturing philosophies that while they’re easily transferrable to other panel manufacturing operations it’s new to our business so that has the impact of increasing our cap ex and that’s a relatively new manufacturing process for us. I’ll say that we are now I think in our third full quarter of mass production and things are going very well there.
Louis Miscioscia – Brigantine Advisors, LLC: You mentioned component shortages, can you call out things specifically that are in short of supply?
Timothy L. Main : At my own risk, we’ll call out specific things. It’s actually worsened a little bit over the course of the quarter to include things you wouldn’t think about like passives and actives but, really primarily it’s a semiconductor capacity issue and I’ll just leave it at that. I’ll also say that things seem to be abating a little bit and the supply constraints seem to be easing a bit but they’re definitely still there.
Louis Miscioscia – Brigantine Advisors, LLC: It sounds like from that comment that as we get in to the seasonally slow period things will then be able to catch up with itself?
Timothy L. Main : Yes, if it ends up being a seasonally slow period. I think our guidance brackets a typically seasonal quarter to something which isn’t seasonal at all. If from a macro standpoint things turn out to be not seasonal I would expect to see continued supply constraints in to spring or summer.
Operator: Your next question comes from Shawn Harrison – Longbow Research.
Shawn Harrison – Longbow Research: I wanted to delve in to the consumer business in two aspects, I think Tim you mentioned a little bit earlier that you’re seeing less than typical seasonality. It seems that maybe part of it, I don’t want to put words in your mouth, is the market driving through December here but are you also picking up market share because I think a statement in the prepared remarks suggested that you’re putting some nice cap ex to a new program that you won and will be ramping in the second half of the year as well.
Timothy L. Main : Well, in terms of seasonal activity, it is normal for us to have December sell through. I think that based on our history you’d see revenue declines of anywhere from 20% to 30% in the consumer area and we’re at the midpoint we’re looking at 15% so that’s a little bit less but it’s still seasonal. In terms of market share, there are some significant mechanics programs that we intend to begin ramping in the spring early summer. I wouldn’t point to big market share shifts there but continuing to build up our capabilities and again, the comprehensive service offering from design to mechanics, assembly, distribution, fulfillment and service is an attractive end-to-end solution and something I think just a few large scale global players can provide to the most attractive customers in the world today so I think we’re benefiting from that movement.
Shawn Harrison – Longbow Research: In those ramps are those with existing customers or will those be new customers coming to you?
Timothy L. Main : It will be with existing customers.
Shawn Harrison – Longbow Research: My follow up question is on the capital budget for the year, $80 million in the second quarter, what should we be modeling for the full year and will it trail off I guess here after the second quarter?
Forbes I. J. Alexander : You’re probably seeing, and again it’s very much depending how you see overall demand beyond mechanical in terms of recovery in the back half of the year, you’ll probably see numbers relatively consistent with Q2 for Q3 and then you’ll see that [inaudible] in Q4. So somewhere between $200 and $250 million type number feels reasonable at the moment.
Shawn Harrison – Longbow Research: I think you said you think you’ll still be cash flow positive even with this higher cap ex number?
Forbes I. J. Alexander : Absolutely, yes we will.
Operator: Your next question comes from [Lansey Mohan].
[Lansey Mohan]: Now with your broken pass over $3 billion revenue and comfortably about 3% operating margin levels, what’s a realistic revenue level at which you can hit more of sort of a closer of 4% operating margin? Level and how much incremental investments would you need to achieve that revenue level?
Timothy L. Main : A complicated question, it’s a straightforward question but a complicated answer. The degree to which we can drive operating leverage, I think we’ve talked about $0.10 to $0.15 of operating leverage through the $3.3 to $3.4 billion per quarter range. After that we’ll continue to see leverage at the op ex line so SG&A will expand at a much slower rate than revenue above the $3.3 to $3.4. When you start looking at revenue levels in the $3.7 to $3.8 range I think then you’ll start to see the incremental margin performance be a little bit less. It depends a lot on the mix of the business and we do everything we can to grow our business in a methodical way. We focus on diversification, we have mobility and the industrial instrumentation medical sectors our two largest sectors, that shows good diversity. Our top 10 customers are 58% of our revenue, that shows good diversity but as hard as we try to balance our approach if they as customers decide they really like us and consolidate the business with us or we have significant new program launches or expenses associated with program launches than from quarter-to-quarter we could see some margin dilution. It also depends on where it shows up in the world and where we have to invest in the capacity. But, all other things being equal I’d say that once we get above the $3.5 to $3.6 billion per quarter range we should be getting much, much closer to the 4% operating level.
[Lansey Mohan]: As a quick follow up to the inventory question, inventory up 15% quarter-over-quarter, heading in to a seasonally weak quarter, I understand December still has two or three pretty strong weeks, do you expect to sort of work off most of that by the end of December and inventory levels sort of normalize post that? Are you seeing any meaningful atypical changes in December so far?
Forbes I. J. Alexander : Yes, we would expect to work that off as we move through December here. December is tracking as we expect here in to the third week. So, sequentially I would expect to see revenues decline more in line with the seasonal second quarter. So, no real surprises there.
Operator: Your next question comes from [Unidentified Analyst].
[Unidentified Analyst]: Forbes, my first question was for you, just on the margin if I look at the negative leverage in the second quarter, at the midpoint of your guidance range it seems to be just a little bit higher than the $0.10 to $0.15 drop you’ve talked about before. I’m just wondering if there’s anything unusual or if you could just maybe elaborate a bit on what might be explaining just slightly higher negative leverage?
Forbes I. J. Alexander : Nothing really unusual, we typically see somewhere in the range of $0.15 or $0.18 on the downside. We do have some investments going on with this mechanical expansion, nothing untoward in that regard. As we do see seasonal decline in the consumer space that tends to bring down essentially some of that leverage a little bit. But again, if one goes back historically Q1 to Q2 sequentially is in or around about that range. That is to say $50 million of expenses associated with some mechanical expansions brings that back in to the higher end of that range, $0.14 to $0.15 on the dollar.
[Unidentified Analyst]: Then just a quick question on some of your EMS end markets, if I look at computing and storage and telecom, I know you talked about networking being impacted by some component shortages, I’m just wondering if you could elaborate a bit on what’s going on in the computing and storage side in telecom, both of them fairly week this quarter?
Timothy L. Main : Computing and storage is up 2% sequentially so I didn’t think that was particularly negative and again, when I think about computing and storage, networking and telecommunications in total we’ve actually seen some pretty robust demand there overall. In the networking area there was really one customer that distorted the results, a European customer that is confronting some hyper competitive activity in their marketplace which is essentially really created a prop in revenue for us. That was a European customer and not in our top 10 so that distorted the number a little bit. Keep in mind, one of the things that’s happening in the enterprise area, particularly in the high end is the volume is going up and the unit prices are down because the customer base has done a good job of fundamentally reducing design and really making these products higher volume products, standardizing platforms and getting better penetration so our actual unit volume is up substantially in these markets. I think the enterprise markets will show very good strength through the balance of the year.
[Unidentified Analyst]: One final question, you had previously thought you were going to use cash from operations in this quarter, great performance. I’m just wondering if for the second fiscal quarter should we expect some usage of cash from ops or do you still think you could have a positive cash flow quarter next quarter?
Forbes I. J. Alexander : I would absolutely expect a positive cash flow in the second fiscal quarter and for that matter continuing through on a quarterly basis through fiscal ’10. We did a good job in the first fiscal quarter maintaining overall days there at 16 days, so we’re very pleased with that result. But certainly again, you’re right at the midpoint of our guidance, sequential decline of about 3% we should certainly continue to generate cash flows from operations and frankly in excess of the number we generated in the first fiscal quarter.
Operator: Your next question comes from Sherri Scribner – Deutsche Bank Securities.
Sherri Scribner – Deutsche Bank Securities: I was curious if you could maybe give us some detail on what you’ve seen so far in the month of December, particular on the EMS side of the business. I guess my question is sort of focused on what do you typically see in the month of December? Does business tend to be strong throughout the month or does it slowdown in the second half? And, are you seeing this year that demand is continuing through the second half of the month?
Timothy L. Main : We typically are not descriptive on a monthly basis for the quarter. I think on our guidance we’ve attempted to do the best job we can of handicapping the risks and the benefits that we see in our business. Forbes said earlier today that December is tracking normally and to what our expectations are.
Sherri Scribner – Deutsche Bank Securities: Would you typically see a fall of in demand in the second half of the month or would you typically see that demand is strong throughout the full month just in general not this year?
Timothy L. Main : Again, December is tracking normally. I mean you’ll have some customers that shut down for Christmas season but for the most part people are on calendar year ends and they’re going to continue to ship product right through the month. I think what we see is a normal pattern and again, we’ve tried to handicap everything we know today, I mean things could happen that we don’t know about tomorrow. But again, we’ve handicapped everything we can in to the guidance, everything that we know today, all the risks associated with it and everything else.
Sherri Scribner – Deutsche Bank Securities: I guess I’m just trying to get a sense of how demand is tracking so far? You seem to be relatively optimistic with the guidance that you’re giving with the EMS business and it sounds like things are healthy. I’m trying to get a sense is that because you’re seeing healthy demand so far in to the end of the year? Some people have commented that they’ve seen healthy demand in to December or is it more a commentary about the forecast that you’ve gotten from your customers for the full quarter?
Timothy L. Main : Well, we try to bring the full force of our combined knowledge about the past, present and future in to our guidance and based on what customer activity has been like through Q1, what things look like in Q2, they’re forecast for Q3 and Q4 and doing some checks on how things are tracking before we get on calls like this. I think we’ve tried to do as much as we can to handicap the guidance and evaluate the trend analysis and we think our guidance is appropriate.
Sherri Scribner – Deutsche Bank Securities: Let me maybe ask a different question, do you feel that your visibility has improved for your business over the past couple of months? Would you still say you have about a quarter of visibility or do you feel that that is maybe elongated?
Timothy L. Main : Sherri we’ve always had annual visibility with customers. The truth of the matter is though that that shifts around based on what sell through rates are like so I wouldn’t make any comment about the length of visibility. I would say the confidence in our customer’s sell through rate and our confidence in the visibility that they’re providing us, the forecasts they’re providing us has improved a great deal over the last two or three quarters. A year ago we were handicapping our customer’s forecasts to Jabil 10% to 15% and at this point we’ve seen sell through rates come much closer to what customer forecasts are so our confidence level is improving.
Sherri Scribner – Deutsche Bank Securities: Then maybe if I could just ask, I have three very short housekeeping questions, one is why did your share count go up in the quarter? Two, why was cap ex a bit lower than you had expected, maybe that’s just movement of cap ex in Q2 and then also where is the automotive business, is that in other?
Forbes I. J. Alexander : Let me try and deal with those, the last one first automotive is in other. In terms of the share count, let me try and walk you through that. Effective the first of September of this year there is new accounting guidelines out there that relates to participating shares or participating securities. What that basically means is if an enterprise or organization has performance related restricted shares which we as an organization grant performance restricted shares to our management team and employees so they only vest upon successful completion of various performance criteria. Those shares as we are a dividend paying organization carry a dividend. This new accounting pronouncement now deems that those shares must be fully included in the diluted share count, the calculation of earnings per share. This accounting standard is also applicable retroactively so what you’ll also see on our press release on the income statement, you’ll also see our share count is 213 million shares versus roughly 209 if you pulled our press release as of a year ago. What this does is have an impact of reducing earnings per share by $0.01 on the first fiscal quarter 2009. It adds about five million shares. What you’ll see is any organization that paid a dividend that has performance restricted stock or performance restricted securities will be impacted by this accounting standard. Then in terms I think the last question was cap ex, why that was a little bit lower, I think we guided to right around $50 million. No particular reason, I think just the way that the particular capital expenditures came in to the company as a [inaudible] at times when we give these calls. So I think some of that is just sliding around a little bit.
Operator: Your next question comes from Matthew Sheerin – Thomas Weisel Partners.
Matthew Sheerin – Thomas Weisel Partners: I have a question regarding the handset business, you talked about new business coming on in the second half and obviously you’re doing very well with RIM so the question is how diversified is your wireless business now and what steps are you taking, if any, to ensure that going forward? Then, just regarding margins and return profiling that business, is it pretty consistent across your customer base or is that driven by either mix or type of customer, particularly customers that are involved with Taiwan Green Point?
Timothy L. Main : In terms of diversification of the customer base in mobility, I think we’ve talked about this in quarters past, we do business with virtually all the leading companies in that space so certainly the top five or six handset mobility OEMs in the world, we do business with today. From a revenue standpoint I think in our 10K obviously there was a disclosure of RIM being a 10% customer so from a revenue standpoint, particularly in electronic assembly areas that we’ve historically called engines that carries higher revenue with it. So there’s a little bit more revenue concentration but good diversification in terms of who we do business with again, the leading companies in the world we do business with. In terms of the margins in the business, I wouldn’t attribute the margins to anything except this, the amount of value add we have in the revenue stream per activity. So in pure electronics activities, the material content in that revenue stream can be between 85% and 90% so really a 10% value add if you will. Then in the mechanics area where there’s greater technology, more fixed assets, lots of differentiated activities, that type of thing the material content can be anywhere from 40% to 60% depending on the type of product and the complexity of the product and what we’re doing. We tend to carry similar return on capital metrics but different operating margin metrics. We’re looking to invest in areas that give Jabil technology differentiation, genuinely enriches our value proposition for customers, makes us a more valuable partner and ultimately delivers much stronger shareholder value and accretion to our shareholders.
Matthew Sheerin – Thomas Weisel Partners: In line with that Tim, have you been looking at any potential vertical component areas? You’ve done obviously well with Green Point and I know you’ve stayed away from some sort of drill down component segments so what’s your philosophy about adding some of those capabilities as you go forward?
Timothy L. Main : Gradual, incremental, small steps that will develop from the strength that we have in the current business and continue to look for opportunities that we can generate from our internal capabilities. So, extensions of our capabilities near adjacencies and things like operating agreements or alliances to enrich our value proposition. So, as an investor I’d look at it as gradual incremental smaller movement to higher value add activities. We’ll continue to do that and bring different activities in to that capability but again, they’ll be less noticeable from a capital acquisition standpoint but hopefully a heck of a lot more noticeable to our customers.
Operator: Your next question comes from William Stein – Credit Suisse.
William Stein – Credit Suisse: Just a question on the alternative energy or solar part of the business, am I correct in assuming that business would be perhaps higher inventory lower turns but higher margins kind of business? If that’s correct, has the investment in that area played out more or less in line with your expectations or has there been surprises around the margins or inventory returns.
Timothy L. Main : No surprises, it has played out about as expected. It’s actually a very high volume low mix business so the inventory velocity should continue to be very high.
William Stein – Credit Suisse: Then one more small one, we talked a bit about inventories, I don’t want to beat that yet again but can you give us an idea of how much of the increase was driven by shortages in a particular component where you get the majority of the material in but not the last component so you kind of get hurt by that?
Timothy L. Main : That’s really tough to do. I said earlier that a guess would be $50 to $75 million of revenue was foregone because of supply constraints so the inventory associated with that would be $40 to $50 million roughly depending on the product and customer, that kind of thing.
Operator: Your next question comes from Jim Suva – Citi.
Jim Suva – Citi: When I look at your EPS guidance it looks like the range of it is a little bit bigger range, it looks like it’s about a $0.12 range for the guided February quarter. Last year it looks like it was about a $0.04 guidance range and last quarter about $0.08 so it looks like the EPS range is much wider despite the revenue range being very consistent. Can you help us understand the difference about why a wider EPS range?
Forbes I. J. Alexander : If we talk operating first then I’ll get to EPS, the operating range is the same so I think it’s really to do with the share count, now we’re upwards of 215 versus 209. I think what that does is add a couple of pennies there.
Jim Suva – Citi: So nothing else?
Forbes I. J. Alexander : No, because the tax rate is the same at 20% and the interest expense is running about $20 million also.
Timothy L. Main : Q1 guidance was $3 billion to $3.2 billion and 85 to 105 in corroborating income. So it’s kind of a $15 million handle on each side.
Jim Suva – Citi: So mostly math rather than anything else going on below the line?
Forbes I. J. Alexander : Yes, absolutely.
Timothy L. Main : It’s got to do with things further down the P&L.
Jim Suva – Citi: I was just wondering if there was any one off thing?
Forbes I. J. Alexander : No, it’s pretty consistent.
Jim Suva – Citi: Then on the mobility side, if we were to look at the mobility as one piece of your company’s business and say that piece of the pie, is it fair to say that there’s a customer there that represents like more than half that business? Back to the question about diversification of the mobility, can you speak to that a little bit?
Timothy L. Main : I don’t have that information in front of me. Again, we’ve talked about higher revenue concentration in the electronic assembly area and we talked about who the 10% customer are. We’ve got very good diversification in terms of who we do business with and what areas of the business actually are profitable and accretive to the company and what aren’t so actually better balance below the covers than above the covers.
Jim Suva – Citi: I guess if you can maybe help us better understand the concern where those of us who have been following your company for five years or something remember probably the same statement could have been said back in the day when one of your European handset companies was really the bulk of it there. Can you help us understand –
Timothy L. Main : That’s a great question Tim and I think fundamentally the biggest [solid] that investors should take or the most pertinent fact is that customer, that European customer was vertically integrated and competed against our suppliers. The customers that we have that were engaged in electronic assembly today have no vertical capacity or very little. So, we’re competing against people in our industry not against the customer for their own capacity.
Operator: Your next question comes from Alexander Blanton – Ingalls & Snyder, LLC.
Alexander Blanton – Ingalls & Snyder, LLC: How close are you to what’s really going on in the end market because in looking at other companies there are a number where the company is forecasting a substantial increase in their sales in 2010 but they’re also saying that the retail sales of the product are going to go down at the same time. The reason is that last year their sales went down much more than the end market because end markets were reducing inventory. So now, even to get back to where retail sales are going to be at a lower level than last year, their sales have to go up substantially. So how much of that is happening in your business? Of course, it’s a big question, it’s how much is happening in the overall economy as well?
Timothy L. Main : It’s a valid question Alex, we wring our hands about that ourselves. I think from an economic recovery standpoint we are embedding an expectation that the economic recovery will be sluggish but sustained. So, we don’t anticipate any third or fourth dip in economic activity. So, we need a sustained, even if it’s sluggish economic recovery. If you look at our Q1 revenue, we were $280 million or something like that lower revenue than the previous year period. In our second quarter if we hit the midpoint of guidance we’ll only be $100 million above Q2 of ’09 and over that period of time we’ve generated additional market share, we’ve penetrated new customers, we’ve added new business so we’ve had to pedal the bike really, really hard to get to that point. So, to the combination of chopping wood vigorously and really focusing on efficiencies, cost reduction, lean manufacturing which we’ll continue to do throughout the next couple of fiscal years actually, we’re able to generate more income on these modest revenue levels. I think from a company performance standpoint we’re not relying 100% on the economic recovery here I think is the bottom line. We’re driving efficiencies, consolidation of operations, lean manufacturing, we’ve weeded the garden somewhat in terms of the sectors and customer we do business with. We’re really focused on generating market share, our performance and so modest revenue levels will deliver a disproportionate amount of incremental income for our company. We’ve said that consistently, I think it’s the most gratifying thing for us isn’t let’s have the big party because the recession is over, it’s the most gratifying thing is that modest levels of revenue growth which we think are reasonable in a sustained, albeit slow economic recovery will deliver inordinate returns for Jabil and shareholders. So, we’re happy to kind of present that thesis to the investor base.
Alexander Blanton – Ingalls & Snyder, LLC: On that theme, the second follow up question and you’ve mentioned before that your results this year are a little higher than last year even though your sales are down almost $300 million and you attributed this to being leaner, more efficient and so on but you’ve been doing lean for I don’t know, 15 years at least. You would think you had become pretty efficient by now so my question is is there something else going on here? Is there some tightening of the pricing for example, in the industry so that part of this improved earnings is any of it due to that? Due to tightening up of margins overall for everybody?
Timothy L. Main : You mean a more severe competitive environment or easier?
Alexander Blanton – Ingalls & Snyder, LLC: Less, in other words you could be earning more on lower sales because competitors have dropped out or there’s less competition or everybody has decided to get more profits or lesser volume or so on?
Timothy L. Main : I’d say that the competitive environment – my color would be is it’s not any more hyper competitive this quarter than it’s been for the last 10 or 15 years but it’s still very competitive out there. The food supply has gone down so only the most efficient people can compete and provide the type of pricing that the market requires and still make a buck. Yes, we’ve had lean for a long, long time. This is not a flippant comment but we are getting better at it and we are seeing better results today than we have in the past. There are a couple of things going on and I did mention them in the prepared remarks. The emphasis in the industrial instrumentation medical sector has led to some significant growth. Year-over-year I think that sector in terms of share of our business is up two or three percentage points so that’s important. Continuing to emphasis the end-to-end capabilities that we have through aftermarket services and Jabil Green Point has led to some beginning to get some decent traction in the aftermarket services for instance, that percentage of our business is up a point or two year-over-year so that’s very helpful. When things are slow and the environment is very severe we get refocused, thankfully refocused on cost, quality and delivery and fundamental execution. We have that in our muscle memory very well and we’re able to exercise that and hopefully we’ll be able to express that to our advantage this year. So, it is a combination of factors but nothing easy. It’s all based on hard incremental work.
Beth Walters : Thank you everyone for joining us on the call today. We’ll conclude our call and happy holidays to everyone.
Timothy L. Main : Have a safe and prosperous New Year.
Operator: This concludes today’s conference call you may now disconnect.